Operator: Ladies and gentlemen, welcome to the Half Year Results 2025 Investor and Analyst Conference Call and Webcast. I am Sandra, the Chorus Call operator. [Operator Instructions] The conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] At this time, it's my pleasure to hand over to Wolfgang Wienand, CEO. Please go ahead, sir.
Wolfgang Wienand: Yes. Thank you, Sandra, for -- to all our guests for joining the call today. Good afternoon to those of you based in Europe, and good morning to those of you joining from the U.S. This time last year, I joined the half year results call to briefly introduce myself to you, but I was still very much the new joiner, having commenced my tenure as CEO just a couple of days before. This call today marks a milestone as I have now completed my first year in the row, and it has been a pleasure to meet many of you at our investor update and on our roadshows since then, and I'm looking forward to continuing our dialogue during our scheduled trips in the coming months. . Today also marks a milestone for One Lonza as we report on the performance of our newly formed business platforms for the first time. You will recall that we used to report on 4 divisions, even up until the Q1 qualitative update. However, we have now formally transitioned to our 3 new CDMO business platforms integrated biologics, advanced synthesis and specialized modalities. Alongside these 3 core CDMO platforms we will also be reporting on Capsules and Health Ingredients CHI, of course, which continues to operate in its existing structure. We will also share an update on our exit plans for that part of our business. But before we jump into the details of our half year results, let's have a quick look at our disclaimer regarding forward-looking statements that Philippe and myself will be making during this call, this is also available in the online version of our presentation for you to download and read in your precious spare time. Looking at our agenda today. We will start with our group business and some of the highlights and key events over the course of H1. I will then hand over to Philippe, who will do a deep dive into key areas of our financial performance. After that, I will share more detail on our business platforms before finishing with our outlook both for our CDMO business and for CHI. After we have concluded the presentation, there will be a short pause so that we can switch from webcast to video for our Q&A. With all that now clear, let's start with an overview of our group business at the half year. Here, you see my key messages on our business in the first half. We have delivered a robust performance in H1, which means we now expect to deliver the full year ahead of plan. We have reported CHF 3.6 billion in sales across the group, which translates into 19% CER sales growth as compared to 2024. This resulted in a core EBITDA of CHF 1.1 billion, which represents margin growth of 0.4 percentage points to now 29.6%. During the first half, we retained our dual focus on discipline and delivery and top line growth with our overall CapEx reaching 19% of sales, focusing down from the group business, actually onto our core CDMO business, excluding CHI, we saw 23.1% sales growth leading to a core EBITDA margin slightly above 30%. In light of the strong H1 performance, actually, together with our positive view on the second half year, we have decided to raise our guidance to an upgraded CDMO outlook for full year 2025 of 20% to 21% CER sales growth and a core EBITDA margin of 30% to 31%. Our performance -- and I guess the adjusted outlook is a testament to the hard work and dedication of our people across One Lonza's global network. And I would like to thank all of them for their significant contributions to our business. as they have maintained performance levels, while at the same time, embracing the structural transformation of our company to a new target operating model. I'll briefly speak to that later in the presentation. Finally, as we reflect on our H1 and consider our planned performance for H2, we remain actually confident that we can continue to deliver in an uncertain macroeconomic and geopolitical context. We will continue to monitor the global landscape in order for us to navigate, but remain resilient to the challenges that may impact our businesses for industry over the course of H2. Let me now say a few words about some of our business highlights in H1, looking at the technologies that sit within our CDMO business, we see mammalian has strongly supported sales growth in our integrated Biologics platform. Within our Advanced Synthesis platform, our bioconjugates and small molecules offerings have strongly driven sales. And finally, turning to specialized modalities. We see sales are supported by our Bioscience business returning to healthy growth levels after a softer year in 2024. Across our technologies, we are seeing sustained commercial contracting interest in our capacities across the U.S., Europe and Asia is strong. In H1, a particular highlight was the signing of a long-term strategic antibody-drug conjugate supply contract for the integrated delivery of both drug substance and drug product, which actually underpins our leading market position also on that playing field. Looking at the large acquisition last year, we are continuing to see high interest in our mammalian capacity in our new site in Barkerville with new customer contracts currently in negotiation and actually further signings expected soon. Our resilient CDMO business model and our geographically well-diversified global footprint, including a substantial presence in the U.S. largely shield us from potential U.S. tariffs. And at the same time, enables us to support our customers in navigating and minimizing the potential impact of such tariffs. This is an area that we will continue to monitor closely in the coming months to ensure that we and our customers remain resilient to changes. As previously shared, we can confirm that we, as Lonza, expect no material financial impact from current U.S. trade policies. That aside, our resilience is also fundamentally incorporated into our CDMO business model itself as we maintain a disciplined focus on the balance of customers and molecules within our portfolio. You will see here on the left side that our CDMO customers are weighted only slightly towards big pharma, and this is balanced by a minority of small and midsized pharma and biotech customers. Lonza has created attractive offerings for customers of any size and any level of maturity with the right combination of technologies and expertise to support their individual journeys from innovation to commercialization, establishing long-term customer relationships based on trust and collaboration carries strong strategic value for both parties as we see a high proportion of repeat business from customers of all sizes, and One Lonza is especially able to do this. Looking at the CMO cells split by molecule development phase, you can see that around 10% of business is positioned in the earlier stages of the life cycle around preclinical and Phase I, we see the value of capturing molecules at this early stage as it allows us to build long-term relationships with customers of all sizes from the outset of the molecules journey and ensure we can collaborate to optimize the commercial potential of their discoveries. However, the focus of our portfolio remains on Phases 2, 3 and of course, commercial, which are areas of managed risk and higher level of certainty and visibility on sets. As in H1 2025, we continue to see strong demand for our global mid- and large-scale capacities. We are also seeing good levels of interest in commercial manufacturing of niche drugs as well as development work for new drugs and our small-scale assets, all this leading to high levels of utilization in such assets. Looking beyond 2025, we are closely monitoring the biotech funding environment and also regulatory developments in the U.S. In the context of our well-balanced business and us continuing to see many growth opportunities available to us, we are progressing with our ambitious CapEx program in line with plan. Our CapEx spend in H1 was CHF 672 million, equivalent to 90% of sales with 64% dedicated to a diversified portfolio of growth projects across our 3 CDMO business platforms. These numbers reflect a period of comparatively high CapEx intensity, and we anticipate that this will gradually decrease in line with our CDMO organic growth model. Specifically, we are continuing to drive projects across technologies with high commercial value in areas of sustained customer demand. In Integrated Biologics we have targeted growth in our median and drug product assets. In advance into this, we are especially focusing on growth in our bioconjugate offering and in specialized modalities, we are driving growth in cell and gene technologies. Now turning from principal in theory to practice, let's take a moment to review progress on a snapshot of selected key projects. We have seen good progress actually in fifth where our GMP operations commenced in our new Mammalian large-scale facility in late H1, also insist our new highly potent API facility is ramping up in line with plan, and I can confirm that we have started full commercial operations in July. Vacaville remains a focus for investment, and we are currently in the first wave of our disciplined CapEx plan, which is focused on upgrading our level of automation as well as the multipurpose capabilities at the site. Finally, in Stein, our new commercial scale aseptic drug product facility is on track within its revised time line, as communicated to you in our Q1 qualitative update, and we anticipate that operations will commence in 2027. Now coming as announced before, to our new operating model, H1 was a time of intensive growth and delivery, of course, for our business, but we have also remained focused on delivering our planned transformation program in line with our new One Lonza strategy, which we shared with you at our investor update here in Basel last December. As a quick reminder, the Lonza engine is now the centerpiece for how we think about our One Lonza strategy and sets out the 5 key components of our business, as you see them on the left side of this slide. It is the Lonza engine, which drives long-term differentiation, competitive advantage, superior customer value and through all of that long-term superior value creation for you. Our transformation plan was designed to ensure that we optimize all 5 components of this Lonza engine and create the most suitable operating model to support the execution of our One Lonza strategy. While we have already discussed with you the new structure, its underlying rationale and expected benefits for our customers, for ourselves and for our ability to achieve our ambitious growth targets. I'm happy to report that the new operating model successfully went live on April 1, actually perfectly in line with our original and very ambitious time line and without any complications. Our teams actually in a great manner embraced the change and quickly adapted to our new way of working while maintaining momentum and operational execution. This new operating model also forms the basis for our new reporting structure as already applied to the whole first half year of 2025, as you have seen. Before I close my overview I would like to share a brief update on progress in our preparations to exit capsules and health ingredients, CHI. As we have said before, we plan to make our exit at the right point in time and in the best interest of all our stakeholders to maximize the value of the business. To support the process, we mandated external advisers earlier this year, we have now made good progress in preparing the carve-out of CHI from our core CDMO business. We are continuing to prepare a stand-alone setup and progress the separation of the CHI functions and IT infrastructure from the main Lonza Group. We will continue to provide updates on the exit process when we have further news to share. And with that, I'm happy to hand over to Philippe for him to share the update on our financials for the half year.
Philippe Deecke: Thank you very much, Wolfgang. Good afternoon, and good morning to those of you joining from the U.S. Before we go into the details of our financial performance in H1 '25, let me remind you that from now on, our financial reporting framework will reflect our new business platform structure, which we implemented on April 1. I would also like to remind you that growth is reported actual exchange rates, except for sales growth, which is reported at constant exchange rates. . In the first half of 2025, Lonza showed strong performance at both the group and CDMO business levels. With 23.1% growth in our CDMO business, we delivered above our expectations. The growth was mainly driven by first-class operational execution in our new Vacaville site and a very solid commercial CDMO business. We are also pleased to report good growth in our small scale CDMO offering where we manufacture both molecules in early stage of development as well as lower commercial products. We are also pleased to report a core EBITDA margin of -- in H1 of above 30% for our CDMO business supported by good operational execution, disciplined cost management and improved margins of maturing growth projects. This has helped us absorb the margin decline in the SPM platform. Group sales in H1 were affected by a negative 2% of currency headwind as the Swiss franc appreciated materially over the course of H1 versus the U.S. dollar, but more on currency in a moment. Looking at the details of our sales development versus H1 '24, you can see that integrated Biologics and advanced synthesis were the driver of our sales growth, benefiting from sustained commercial demand a good growth project execution and the Vacaville acquisition, where sales are H1 weighted for this year. This positive momentum was partially offset by a sales decline in specialized modalities both from a high prior year base in cell and gene and microbial and from a temporary weaker operational execution in cell and gene. Moving on to the details of our core EBITDA and margin evolution. We are pleased to report a flat margin of more than 30% for the first half in our CDMO business, supported by disciplined cost management and highly utilized assets across our platforms. Integrated Biologics was able to show solid underlying margin progression and a higher Vacaville profitability than in our initial more prudent expectation. Advanced synthesis, now combining small molecules and bioconjugation continued on its path of margin accretion already seen in prior years with strong margin evolution across both technologies. Integrated Biologics and Advanced synthesis, both benefited from a good operational execution and improved margins in their respective growth projects. The lower margins in specialized modalities are explained by the lower sales and lower cost absorption. Finally, we faced higher corporate costs than in H1 '24 due to very smaller items such as FX hedging, higher social security, and insurance contribution. We expect that the higher corporate costs will normalize over the course of the year with the full year top and bottom line being comparable with 2024. Moving on to cash generation. We delivered CHF 0.2 billion free cash flow in the first half against the high prior year level. The strong top line growth in this first half led to an increased need for net working capital which impacted cash generation. However, relative to sales, net working capital reduced and we continue to make good progress in reducing inventories. The decrease in free cash flow is also explained to a lesser extent by lower customer funding for certain growth projects. As mentioned before, let me briefly turn to currency movements. This slide provides an overview on the past and expected FX impact on our sales, core EBITDA and core EBITDA margin for 2025. As you are probably aware, the U.S. dollar lost 13% in value to our reporting currency, the Swiss franc, between January 1 and early July. As a group, we generate around 2/3 of our sales in foreign currencies with the dollar being the largest share, even more so now after the Vacaville acquisition. The next largest foreign currency is the euro, which was more stable, however, with only 1% decline. For the first half, the translational FX headwind impacted sales by negative 2 points and core EBITDA by a negative 1.3 points. Thanks to our global manufacturing network, we have a strong natural hedge meaning that our revenue and cost in the different currencies are very well aligned. This natural hedge, which we complement by a financial hedging program provides a good margin protection against currency fluctuations. For the full year, assuming FX rates as of early July prevail for the remainder of 2025, we would expect an impact of negative 2.5% to negative 3.5 percentages on sales and core EBITDA. Before closing the finance section, let me say a few words on our capital allocation framework in addition to what Wolfgang said earlier during his comments on the planned exit for CHI, as we shared in December at our investor update, we have clear priorities for our use of capital from operations. First, investing in maintenance, infrastructure and systems is a priority to maintain our base business in good shape for the future. Second, we also gave you our commitment to maintain or increase our dividend year-on-year. Under normal circumstances, this leads us to the discretionary cash that we then use for growth investments, organic or inorganic. While hypothetical for now, in the case of a straight sale, the CHI business exit would bring additional proceeds, which would increase our discretionary cash available for growth investment. In such a case, we would follow the same highly disciplined approach to decide upon organic CapEx or bolt-on M&A. We will do this based on clear criteria ensuring strategic business fit with the Lonza engine and attractive return generation. While our decision criteria for organic CapEx have clear financial thresholds, meaning 15% IRR and 30% ROIC at peak, the variety of bolt-on acquisition targets do not allow for such fixed thresholds. But our commitment for attractive return generation is the same for organic and inorganic investments, and while attractive M&A targets often arise opportunistically and cannot be planned, we have clear line of sight for the type of bolt-on acquisitions we are looking for, which we shared with you back in December during our investor update. First, high-quality manufacturing capacities which accelerate and derisk our growth agenda, like in the case of Vacaville and its large- scale mammalian capacity. Second, innovative technologies and IP that make sure we stay ahead of competition in the areas where we are active or broaden the scope of our business operations, like in the case of Sinafix and its ADC linker technology. Third, portfolio expansion in business area where Lonza has a smaller footprint, like in the case of the still emerging cell and gene technology business. With that, it's my pleasure to hand back to Wolfgang for an update on the performance of our business platforms. Over to you, Wolfgang.
Wolfgang Wienand: Yes. Great. Thank you, Philippe, and now let's indeed look more closely at the performance in H1 for each of our business platforms. Actually starting with Integrated Biologics. In Integrated Biologics, we reported strong CR sales growth of almost 40% compared to H1 2024, supported by the Vacaville acquisition and sustained high demand for both large and small scale assets. We also saw healthy margin development in Integrated Biologics in H1. Good operational execution and maturing growth projects, together with the better- than-expected margin of the new Vacaville site resulted in a core EBITDA margin of 36%, an increase of 0.5 percentage points versus H1 2024. In Vacaville, with H1 weighted sales, we saw better profitability than initially expected. In our Mammalian technology platform, we have seen strong momentum driven by commercial demand, alongside a high level of utilization also in small scale assets with good visibility for the remainder of 2025. We see sustained momentum in new contracting for our global mammalian capacity. Additionally, our large-scale mammalian asset in FSP is a ramp-up, and we expect the sales contribution to increase gradually over the coming years. Across the business platform, good operational execution alongside maturing growth projects are driving both, underlying growth and margin. In advance into this, we reported strong CER sales growth of above 18% compared to H1 2024 with both small molecules and bioconjugates making positive contributions. We have seen particularly strong demand for complex small molecules in the first half, including highly potent APIs and bioconjugates. Sales growth has been driven by the ramp-up of growth projects, and we have a strong pipeline of confirmed orders and progressing opportunities. Supported by growth project ramp-up, operating leverage and robust operational execution, the business platform's core EBITDA margin reached 40.3%, an increase of 6.9 percentage points versus H1 2024. The business successfully maintained its positive momentum, continuing the margin improvement trajectory established over the past year. In Specialized modalities, we reported CR sales at minus 9.2% and a core EBITDA margin of 17.3%, a decrease of 6.1 percentage points versus H1 2024. In CTT, pipeline variability led to lower asset utilization alongside also a softer operational performance compared to prior year. By pipeline variability, we mean that the lower maturity and the smaller size of the cell and gene industry as a whole, with a much smaller number of projects caused higher degree of volatility due to clinical failures and less diversification of such development risks in the smaller portfolio. The softer operational performance refers to the greater variability of production execution due to the often complex and manual manufacturing process required for cell and gene therapies. We aim to increase resilience in our CGT business over time by expanding our portfolio, especially with more commercial molecules. Currently, we have 5 commercial products within CGT, the most of any CDMO in the space. In microbial, growth was impacted by the high sales and core EBITDA comparison of H1 2024. Additionally, the technology platform was impacted by a necessary plant adoption to accommodate a new customer in one of the microbial assets. Bioscience had a good H1, 2025 underpinned by market recovery, and we are pleased to see that it has returned to healthy growth after a more difficult 2024. Looking ahead, we anticipate stronger performance for both CGT and microbial in H2 with delivery weighted into Q4.. Finally, Capsules and Health Ingredients progressed on its recovery path with flat sales growth versus H1 2024, which is in line with the projected trajectory for the full year. Core EBITDA margin reached 26.2%, an increase of 1.4 percentage points versus prior year, supported by an increased production volumes and the positive impact of productivity initiatives. The capsules business has shown quarter-over-quarter CER sales growth since Q3 2024, the nutraceuticals capsule business saw good order momentum in H1, while the pharma capsules business is on track to return to pre-COVID volumes in the second half of 2025. Looking at the external environment of CHI, the business is seeing limited impact only from current U.S. tariffs as we supply the U.S. market primarily from our U.S. site in Greenwood, South Carolina. Furthermore, our strong footprint in the U.S. is expected to support CHI and its customers in navigating the landscape as it continues to evolve. Also in the U.S., we saw positive preliminary determinations in recent countervailing and antidumping filings, which are expected to restore competitive balance for nutraceuticals as well as pharmaceutical capsules in the U.S. market. As I mentioned before, we also made good progress in H1 with our internal preparations to carve out and prepare for the exit of the CHI business. CHI is an attractive business, world leading in its markets, and as we can see from its half year performance, it is on a successful and sustained transformation journey. In line with our guidance, we expect the business to return to CER growth in 2025 with an improved margin at around the mid-20s level. Now let's turn our heads to our outlook for the full year 2025. Today, as you have seen, we upgraded the CDMO outlook for full year 2025. Our CR sales growth was previously expected to approach 20%, and this has now been raised to 20% to 21%. Also, our core EBITDA margin was previously expected to approach 30% and this has now been raised to 30% to 31%. Excluding Vacaville, which is expected to contribute around CHF 0.5 billion in sales, we expect low-teen percentage organic CER sales growth at improving margins for our CDMO business and full year 2025. In line with this outlook, we expect sales in H2 to be higher than in H1, with a core EBITDA margin at similar levels for both half years, supported by the good performance in H1 and continuing market recovery, we can confirm the outlook for full year 2025 for our CHI business. As a reminder, our outlook is a return to low to mid-single-digit percentage CER sales growth with an improved core EBITDA margin in the mid-20s. In the midterm, the CI business is on track to return to its historic sales growth in the low to mid-single digit and a core EBITDA margin of more than 30%. Before we turn to the Q&A, I would like to summarize the presentation with a few closing messages of mine. First and foremost, we have good reason to feel confident that One Lonza is well on track as we reach the end of the first half. In H1, we delivered strong CER sales growth of 23.1% at a core EBITDA margin of 30.2% in the CDMO business. This was supported by sustained contracting across technologies and good progress on key projects. In the context of these robust results, we have upgraded our CDMO outlook for 2025 to see our sales growth of 20% to 21% and a core EBITDA margin of 30% to 31%, as just discussed. And finally, CHI saw a tangible recovery in H1 and is on track to return to its historic CR sales growth and a core EBITDA margin above 30% in the midterm. This positions CHI well as we continue with internal preparations to exit this business. With that, I thank you for your attention, and we will now take a 2-minute break while we set up the video recording for the Q&A session. We look forward to joining you again in just a moment.
Operator: The first question comes from Zain Ebrahim from JPMorgan. .
Zain Ebrahim: This is Zain Ebrahim from JPMorgan. I'll stick to 1 question, which is just on the U.S. CDMO market, in terms of how you're thinking about the balance between supply and demand there currently? We've seen some large contracts announced by 1 of your competitors. So how would you say interest in tobacco facility has progressed in H1 relative to your initial expectations? And somewhat tied to that, given the strong integration you've highlighted today and better-than-expected margins for 25, when do you now expect Vacaville margins to be neutral to the group? .
Wolfgang Wienand: Thank you, Zain, for the question. I for sure take the first one. I mean briefly, we do track the global supply and demand view, we actually do not typically boil it down to local markets. However, what we can tell is looking at the utilization of our capacities in the U.S., where we actually are the by far largest CDMO, we see continued high demand. That applies also to Vacaville, high interest, I should say, but also to the other sites in the U.S. When it comes to Vacaville I mean, as you know, as we shared before, we actually have 3 commercial contracts signed already and a number of customer negotiations going on right now, which is why we are confident to be able to actually share with you the signature of next customer contracts. What you might take into consideration when looking at the time line is that those contracts are actually can be massive and probably will be massive in terms of value and both parties actually spending the time to do it right. So but overall, our confidence in terms of Vacaville contributing to the business mid to long term and already today is actually high based on the customer interest that we actually see from tangible conversations and negotiations with such clients. And the second part is that for you Philippe if you want. .
Philippe Deecke: So Zain, so on the back of a margin, so yes, they were in the first half, better than we had planned for. We had expected. However, I would not take this as a sign for the rest of the time for Vacaville, at least in the short term because as you know, we have a significant portfolio shift to execute in Vacaville and therefore, we stick to the guidance that we gave you earlier where the margins of Vacaville will become neutral to the group towards the end of the next 3 to 4 years. So we stick to that, again, 2025 is a more quiet year, if you want, for Vacaville, where we are not yet really changing the portfolio. .
Operator: The next question comes from Charles Pitman-King from Barclays. .
Charles Pitman: One from me just on the Capsules & Ingredients business. Just noting that in the footnote 9 in the trial report, you confirm that it's not being classified as held for sale or probable for sale given it's not ready for a sale meeting the criteria IFRS 5. So just wondering what is, what the requirements are, what do you need to see to convert that into a discontinued operation to kind of signal like you're getting close to a sale? And then just kind of following on from that, if you could provide me some thoughts on how you are thinking about the implications of this divestment on Lonza's return on invested capital and free cash flow.
Philippe Deecke: Yes. No, thanks, Charles. So IFRS 5, 2 main criteria. I think one, you need to classify an asset held for sale into mid-1 criteria, which is in to be able to execute the perimeter when you put it as held for sale. This is not yet the case. I think as you can imagine, we need to restructure the entire legal and legal entity structure around the world. We have CHI entities, which is a product business. So we have legal entities in many markets. Therefore, this is not ready yet, and therefore, this criteria is not met today. . The second one is more of a timing. Are we expecting to do this within the next 12 months, yes or no. I would say this is a mute point given that criteria #1 is not met. So we'll do this as soon as we're ready internally. You'll see us doing that, and we'll, of course, we'll be informing you. In terms of the divestments, the impact on, I guess, the return on invested capital and cash flow, I think as we had discussed before, we are still having quite a bit of goodwill sitting on the acquisition at the time of Capsugel. So I think if you do your modeling, you would need to assume that a larger part of that goodwill would go with the divestment. And therefore, ultimately, I think our ROIC should have a pickup from the exit of CHI. In terms of free cash flow, Also, that has been discussed before. Certainly, CHI, a more cash-generative business versus the more -- the other platforms that need and use cash, but there again, you heard Wolfgang said that our aspiration to lower the CapEx intensity will also bring the CDMO business to be cash generative very soon.
Operator: The next question comes from Charlie Haywood from Bank of America. .
Charlie Haywood: Just you noted obviously strong demand or interest you're seeing in the U.S., but I would also love your views on the pricing you're seeing in the U.S. CDMO market I guess, across modalities as well, so not just for your Vacaville site, and if you've seen any sort of step change in pricing environment this year given the broader macro debates everyone's having .
Wolfgang Wienand: Yes. Thank you, Charles, for the question. Lonza it typically has typically been able to actually set through its price expectations. But of course, in the end related to our return expectations and that didn't change. And looking at the ongoing negotiations with potential future clients also for Vacaville we expect that to continue. Is there an extreme change in the 1 direction or the other, I wouldn't be aware or no, we don't see that. .
Operator: The next question comes from Odysseas Manesiotis from BNP Paribas. .
Odysseas Manesiotis: Congrats on the strong half. Firstly, on your back guidance with sales remaining flat by around 28%. This technically implies 2 to 3 more contracts from here, if my math is not wrong, assuming they come online by 2028. So given today's guide upgrade and the interest you're seeing, has customer interest on ahead of your initial expectation? And should this target appear conservative? And secondly, could you give us some more reasoning for the CapEx phasing? What are the key reasons in the spend in H1 here? And what kind of equipment will the CapEx focus on in H2?
Wolfgang Wienand: I will start with the first part of the question, then probably hand over to Philippe, in terms of sales evolution, as we expected for Vacaville over the next 3 to 4 years, we can never forget that actually 3 things. And actually, all of them important and also important for our long-term success at that site, 3 things are going on in parallel. First of all, our commitment towards Roche. So the sale, the asset came along with a contract for the Roche portfolio that we committed to continue to manufacture. So Part 1. This, however, is going down over that period in time and at least contractually to 0. At the same time, and that's what we have been talking about before. We continue to develop new business and talking to customers signing contracts and approaching signing with other customers. So this is kind of substituting the loss of volumes, the loss of business with the Roche portfolio as originally planned and anticipated at the point in time of sale. The third part actually is 1 that we deliberately decided to do, which is investing to the site so that it can become an even more efficient and a more flexible manufacturing asset as we as Lonza needed. These investments do not only mean money, CapEx, but also downtime for us to be able to our engineering teams to be able to actually execute the upgrade in automation and also the increase in flexibility by additional areas and in other measures. So it's a conscious decision to not fully optimize in the short term but creating the right foundation for mid- and long-term value creation by balancing all 3 elements: Roche, new business and upgrade CapEx into automation and flexibility at the same time.
Philippe Deecke: I'll take the second one. So on CapEx, we guided the year for low 20s. We delivered in the first half, 19% CapEx in percent of sales. So overall, I think pretty close to balance for first half or second half. It's not unusual to have a slightly heavier CapEx load in the second half. You were also asking for what type of equipment. I mean, it can be everything we -- as you know, we are working on 20 growth projects, and this is anything from very early construction work to late phase, hand over to operations and finishing the insight of some of the suite. So this is really a mix of construction and equipment for the different technologies.
Operator: The next question comes from James Vane-Tempest from Jefferies. . James Alexander Stewart Vane-Tempest Two, if I can, please. Wolfgang, if you were to reflect on your first year, what do you think has exceeded expectations? And where can we expect a greater focus over the next 12 months? And then secondly, to Philippe, with higher CDMO sales expected in the second half and new facilities ramping up, why aren't margins expected to be higher in the second half as well than first half if lower margin Vacaville revenues have been first half weighted. Or is there some conservative here given the political landscape? .
Wolfgang Wienand: Yes. Thank you, James. And on your first question, First of all, I'm working in the industry for almost 20 years. Of course, a new Lonza size, the market leader and kind of the gold standard in that industry from the outside, and I knew Lonza, I heard some at my previous place and last some colleagues to Lonza at the time. But I think at a pretty good factor view on one. However, what you don't get without really being in the team, being in the company's kind of emotional part of it and what it really means. And in terms of the people, the quality of people that I met in terms of expertise, but also in terms of ambition, openness, I mean, these are the people working for the market leader but still have been very receptive also, to my perspective, as I was very receptive to their thinking. And if you kind of I don't want to bother you with too many details. But if you kind of reflect back on what the team achieved in only 1 year, I think it's massive. And that is probably, while I had high expectations. That's probably the one which I would state here as a surprise, openness to change readiness to embrace change and readiness to execute change. And that actually makes me very optimistic with regard to, I mean, all of the next coming years, during which we will continue on our transformation and growth story. .
Philippe Deecke: Thank you, Wolfgang. James, to answer your second question. I think -- 3 components, I guess, to help you understand the margin evolution. One is, yes, Vacaville is more weighted towards H1, which means less weighted into H2. And as you know, volume drive margins in our business. So I think that's one component. Second is the underlying business in Integrated Biologics. Also there, the mix is different between the second half and the first half. Therefore, there, we expect a little bit of headwind from mix. And then the third one, ADS, margins above 40% for H1. Now while we believe this is roughly what the business can deliver, there will be always up and down. It will be slightly above, we'll be slightly below that line. And so this is also what we see coming for the second half. So story of 3 pieces, a little bit of Vacaville, a little bit of R&D, a little bit of ADS.
Operator: The next question comes from James Quigley from Morgan Stanley. .
James Patrick Quigley: James Quigley from Goldman Sachs. I've got 2, please. So 1 on advance in this. So revenue and EBITDA margin were both significantly ahead of consensus. So can you give us a little bit more color on your expectations into the second half and into maybe 2026 as well, particularly on sustainability of the growth. And you already mentioned the margin level may be a bit volatile in the second half. But should we think about 40% as sort of peak margins for advanced synthesis? Or is there a little bit more room to go? And then secondly, on CapEx, on Slide 8, you gave us a split of total CapEx, but how does that split look when just thinking about growth CapEx between the key modalities? And as we look at that today, with integrated Biologics first, followed by specialized medicine and advanced synthesis. Does that reflect where you think the key growth opportunities are? Or is that more of a phasing thing in terms of the size of the CapEx
Philippe Deecke: James. So on ADS, as I just mentioned, I think the margins around 40%, I think, is reflective of the combination of our improved small molecule mix towards more complex, highly potent APIs as well as a higher-margin business around bioconjugates. And I think the 40% is really reflective of also operationally things going well and assets being well utilized. So I think, yes, you can assume that we will always have highly utilized and always have the perfect mix. But I think I would take 40% more kind of as a base value that can go up or down over the next half. So it's not peak, but it's certainly something that can move up or down. In terms of revenue and margin for '26, I think we are obviously not guiding yet for 2026 and certainly not on a platform level. But I think the growth was really strong in the first half and is a strong '25, but we're not going to go into 2026 at this point, you want to take the CapEx?
Wolfgang Wienand: I can take the CapEx part, James, thanks for that question. First part, simple. I think it has been 64% of total CapEx into growth, right, in first half 2025, when it comes to which -- I mean, I understand your question is kind of a follow-up or a deeper question on our capital allocation framework. So how do we take decisions when it comes to CapEx into organic growth. First of all, we do have clear financial thresholds, which actually, I mean, almost each organic growth project need to fulfill 50% IRR and a ROIC of 30% or more at peak sales. However, what we don't do is to just -- I mean decide based on the next project coming and delivering upon those criteria because that would make us prone to, I mean, coincidence, timing, phasing of the outside world, but we need to have a view how to evolve our overall asset portfolio, not only for one technology but for the whole portfolio of technologies because we are committed to play a leading role in any relevant pharmaceutical modality in the CDMO space. So there is a more sophisticated, I would say, framework, which, of course, includes financial thresholds, but also qualitative strategic criteria, which we apply to essentially in the end, make sure that not only short term, but also mid to long term, we create the right global asset footprint across the right technologies in the proper balance. .
Operator: The next question comes from Charles Weston from RBC Europe. .
Charles Robert Weston: First is on whether you can provide some more color on demand trends in clinical inquiries, perhaps in terms of the trend that you're seeing through the quarter and you have seen softening, whether that's mainly from biotech or a more broad customer base? And the second question on specialized modalities. Medium term, the market could be growing, I guess, high tens or even 20s, but your own growth will be very dependent on your specific commercial products. How do you envisage your own revenue trajectory in this business. Is there 1 year that could particularly inflect? Or should we think about this as a smoother acceleration path? .
Wolfgang Wienand: Yes, I'll take you Charles, and I'll take the first 1 for sure. on, let's say, clinical inquiries pipeline development. Maybe let's start with the scrip describing the current status, which refers to our small-scale assets. And here, we saw in the first half 2025, a high utilization and we'll see the high utilization also in the second half, first of all. Those small-scale assets, we actually use for development work, clinical development work for our clients, supporting their discoveries, but we also use it for small-scale commercial products. And to kind of put it into perspective, and we shared that data point in 1 of the slides, our overall early phase. So Phase 1 development work- related revenues are around about at 10% of our revenues. Second statement in terms of what we expect in the future, which is, first of all, hard to tell, but still sharing how we think about it and what data we use to form our opinion. First of all, of course, we are looking at VC funding probably the same sources or similar sources like the ones that you are using. And we actually see, I mean, through the report that actually we see funding is going down. However, if we -- I mean go 1 level deeper and ask ourselves, where are those early phase development projects really coming from? It's not only small biotech. We're happy to work with colleagues there do that, as you have seen in terms of customers split across our portfolio. I mean always half-half big pharma and small to mid pharma. However, also big and mid-scale pharma by internal owned funds, continue to develop new pharmaceutical assets and us, we are serving both. So actually, the part which in the end is affected, if at all, by VC funding is actually not that big, within Lonza. I mean, elevating the discussion maybe 1 more level, which is, in reality, I think, in terms of funding taking place for early phase development, you probably have to look at VC funding. Yes, but you need to -- I mean probably look at other funding mechanisms like IPO. You need to look at R&D budgets at midsized and big pharma companies. And if you add that all up, you first of all see the VC funding part becomes relatively small, which is volatile now, too. But overall, we see a healthy development of what is spent as an aggregate into early phase development. But of course, we continue to monitor also VC funding, but couldn't be -- I mean, I'm not able to tell really what it means for 2026 and beyond, if that makes sense. Can you take the second one?
Philippe Deecke: Charles, on SPM growth, you're absolutely right that our growth will be more driven by the own pipeline that we have. I think I was plated in probably 2. One is, are the commercial products that we have already today. We mentioned the 5 products. There, we are dependent on the commercial pickup of these products. Some are very small niche indications. And so these things can vary. Others are large indication where the biotech companies have certain forecasts, and we're dependent to a certain extent for these volumes. The second is the evolution of our Phase II and Phase III products that we have in the pipeline, how quickly they move forward and then again, how commercially successful are. So I think it's very hard to give you an inflection point. I think you can probably follow our 5 commercial products and see how they develop. I'll give you 1 view for the pipeline, I think we'll mention once we have approval, I'm sure we'll be mentioning that as well. .
Wolfgang Wienand: But the question is spot on. The mission for that business actually is to expand the portfolio. So that the risk diversification effect, which is the beauty of the CDMO business model also kicks in in this business of Lonza. And as soon as portfolio expands, we will actually get closer to the overall growth trajectory of that CGT market globally. So actually, last question, please, we would be ready .
Operator: The last question comes from Patrick Rafaisz from UBS.
Patrick Rafaisz: Happy to fire away. A couple of questions from me to close it off. The first would be a follow-up on Vacaville. On the phasing or the H1 loading of the revenues, is that a typical seasonality for the Roche business and with the 3 contracts you've already signed and the ones about to sign soon. Can you describe how much of the projected ramp down in '26 is already in the back to maintain the EUR 0.5 billion run rate next year? And then the second question would be for specialized modalities. You mentioned some of the variables affecting H1, including the the planned modification and the tough comps, do you think in the second half of the year, you can overcompensate these shortfalls on revenues and still generate flat or maybe positive growth for the fiscal year? .
Wolfgang Wienand: Yes. Thank you, Patrick. And maybe for me to start. Phasing of the Roche business actually don't have a superior insight. But of course, we have a close cooperation with this important client. So talking about forecast, talking about manufacturing plans and based on this information, we actually make our own plans and also share insights with you. The CHF 0.5 billion run rate. Yes, that's actually what we shared with you. And actually, there is no reason and no reason to actually change that. We expect that business to continue to operate at around CHF 0.5 billion revenues over the next 3 to 4 years for the reasons explained later. And afterwards, I mean, fully ramp up or fully utilize over time, this great asset and believe that we will then achieve peak sales sometime in the first half of the 30s. That would be my view on that. The second question? .
Philippe Deecke: Yes. Patrick, happy to take the second one. So I think 2 things for the lower performance in 2025 of SPM besides the fact that they had a high base, but in terms of sales in the first half, 2 things. One is we're adapting an asset in microbial to be ready to produce a new product for a new customer. This is -- the construction is now -- or the adaptation is now completed and the product will come in the second half. So that, I think, makes us feel confident that this will come. The second one was a slower performance on our manufacturing for cell and gene, also this, I think in the last few weeks of the first half was back to normal. So also there, we expect a much more normal second half. However, what we said is both of these things are probably rather late phase into the second half towards Q4. So I think we need to make these things happen. But overall, we know the things have been done and the run rate, if you want, should be improving month by month. .
Wolfgang Wienand: Thank you very much, Philip, and thank you very much, Patrick. Thank you very much, all of you, for joining us for your interest in Lonza for the lively discussion and I myself, I guess, Philippe we are very much looking forward to, at the latest reconvene again and talk about Lonza and what we will by then have achieved for the full year 2025 in January 2026. And with that, we wish you a great day. Thank you very much.
Operator: Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.